Operator: Hello, and thank you for standing by. My name is Mark, and I will be your conference operator today. [Operator Instructions] At this time, I would like to welcome everyone to the Kinross Gold Third Quarter 2025 Results Conference Call and Webcast. [Operator Instructions] Now I would like to turn the call over to David Shaver, Senior Vice President, Investor Relations. Please go ahead.
David Shaver: Thank you, and good morning. In the room with us today on the call, we have Paul Rollinson, CEO; and from the Kinross senior leadership team, Andrea Freeborough, Claude Schimper, Will Dunford and Geoff Gold. For a complete discussion of the risks and uncertainties, which may lead to actual results differing from estimates contained in our forward-looking information, please refer to Page 3 of this presentation, our news release dated November 4, 2025, the MD&A for the period ended September 30, 2025, and our most recently filed AIF, all of which are available on our website. I will now turn the call over to Paul.
J. Rollinson: Thanks, David, and thank you all for joining us. This morning, I will discuss our third quarter results, provide high-level updates across our portfolio, comment on sustainability and confirm our outlook. I will then hand the call over to the team to provide more detail. Following an excellent first half, our portfolio of mines continued to perform well in Q3. Production in the quarter was on plan, delivering 504,000 ounces at a cost of sales of $1,145 per ounce. The strength of our operating portfolio, combined with good cost management and favorable gold prices resulted in another quarter of strong operating margins. As a result, in Q3, we delivered another quarter of record free cash flow of nearly $700 million and over $1.7 billion year-to-date. Our business is in excellent shape, underpinned by a very strong balance sheet, robust operational outlook and significant cash flow generation. In accordance with our disciplined capital allocation framework, we are committed to further strengthening our balance sheet through additional debt repayment and enhancing returns for shareholders. We have returned significant capital through our dividend and share repurchases. Given our strong position, we are now planning to increase our return of capital to shareholders beyond the minimum of $650 million we committed for this year. Andrea will provide further details on our capital allocation plans later. Turning to our operational highlights. In Q3, Paracatu and Tasiast delivered substantial production at good costs, generating robust free cash flow. Paracatu was once again the highest producer in the portfolio and remains well on track to deliver close to 600,000 ounces. At Tasiast, both the mine and mill continued to perform well with production in the third quarter delivering as planned and operations remain on track to beat guidance. At La Coipa, performance improved in the third quarter and the site remains on track to meet its full year production guidance. At our U.S. assets, production and costs were on budget in Q3 and also remain well positioned to meet guidance. In Alaska, we saw consistent production with strong contributions from both Fort Knox and Manh Choh. In Nevada, production from Bald Mountain and Round Mountain were as planned. At Bald Mountain, mining of Redbird 1 continued to ramp up and study work for Redbird 2, along with numerous additional satellite opportunities is ongoing. At Round Mountain, initial production from Phase S continued to ramp up following the completion of mining at Phase W. At Phase X, underground development is progressing well with over 5 kilometers advanced to date and infill drilling continues to return excellent grades and widths. With respect to our broader project pipeline, we continue to make steady progress at Curlew, Great Bear and Lobo-Marte in the third quarter. These projects, along with other organic opportunities, continue to be backed by an extensive resource base with excellent long-term optionality. Our strong in-house technical team continues to evaluate these value-generating investment opportunities that we may choose to invest in to continue to grow shareholder value. Turning now to a few remarks on sustainability. In Q3, we continued to provide meaningful impact in our host countries. For example, in Mauritania, we contributed to local educational infrastructure by developing new school facilities in the Inchiri region. In Brazil, Paracatu's tailings facilities recently received the top level AA classification from the engineer of record. This is a strong endorsement of the site's safety practices, reflecting industry-leading standards in monitoring, maintenance and risk control. And in Nevada, Bald Mountain earned the Nevada Excellence in Mine Reclamation and Earthworks Award. Turning now to our outlook. Through the first 9 months, we have produced over 1.5 million ounces at a cost of sales in line with our annual guidance. Operations remain on track in the fourth quarter, and we are firmly positioned to achieve our full year targets. Looking forward, we will remain focused on rigorous operational and financial discipline to deliver strong margins and cash flow to support strong returns for our shareholders. With that, I will now turn the call over to Andrea.
Andrea Freeborough: Thanks, Paul. This morning, I will review our financial highlights from the quarter, provide an update on our balance sheet and return of capital program and comment on our guidance and outlook. In Q3, we produced and sold 504,000 gold equivalent ounces. Cost of sales was $1,145 per ounce and with an average realized gold price of $3,458 per ounce, we delivered margins of over $2,300 per ounce. Cost of sales increased quarter-over-quarter due to planned mine sequencing and the impact of higher gold prices on royalties. All-in sustaining costs also increased as compared to Q2 for the same reasons as well as timing of sustaining capital expenditures. In Q3, our adjusted earnings were $0.44 per share and adjusted operating cash flow was $845 million. Attributable CapEx was $308 million with slightly more sustaining capital versus growth. Attributable free cash flow was a record $687 million or $538 million, excluding changes in working capital. And we received an additional $136 million of cash in Q3 from the prior divestiture of Chirano mine. Turning to our balance sheet. Our strong financial position continued to improve in Q3. We ended the quarter with approximately $1.7 billion in cash and approximately $3.4 billion of total liquidity, increasing by over $600 million over the prior quarter. As of Q3, our balance sheet is in a net cash position of almost $500 million. Our financial strength was recognized by S&P, who updated our credit outlook from stable to positive during the quarter. With respect to the Chirano proceeds, we received $136 million in the third quarter and subsequent to the quarter, an additional $96 million or a total of $232 million since the beginning of Q3. Since the closing of the Chirano transaction in 2022, we have realized approximately $314 million in cash proceeds compared with the original sale price of $225 million. As Paul noted, as part of our disciplined capital allocation strategy, we are further strengthening our balance sheet through additional debt repayments. Yesterday, we issued a notice to redeem our $500 million 2027 senior notes. The notes will be redeemed prior to year-end, resulting in approximate interest savings of $35 million over 2026 and 2027. Following the redemption, we will have $750 million of senior notes outstanding maturing in 2033 and 2041. With respect to ongoing return of capital to shareholders, in the third quarter, we continue to make regular share repurchases, canceling approximately $165 million in shares. Year-to-date, we have repurchased $405 million of our shares. Including our quarterly dividend, we have returned more than $500 million to shareholders to date in 2025, marking strong progress against our initial commitment of $650 million. As Paul noted, given our robust financial position and strong free cash flow, we are increasing our return of capital in 2025. We increased our long-standing dividend by 17%, and we intend to increase share repurchases by $100 million for a total of $600 million this year. In total, this represents more than $750 million in returns to shareholders. And when considering the $700 million of debt repayment, we will have returned a total of almost $1.5 billion in capital in 2025. This is an increase of more than 50% compared to 2024 and a total of nearly $3 billion over the last 3 years. Turning to our guidance. Full year production is on track to be slightly above the midpoint of our guidance with fourth quarter production expected to be slightly lower than 500,000 ounces. Operating costs at AISC remain on track to meet our full year guidance despite higher royalty costs from higher gold prices. All-in sustaining cost is expected to be within the upper range of our guidance as a result of a higher proportion of sustaining capital with Q4 all-in sustaining costs expected to be above Q3. Total capital expenditures remain on track to meet guidance of $1.15 billion. With respect to our cash flow outlook next year, as typical for us, we will have seasonal tax payments due in the first half. Given the higher gold price, we expect these payments to be higher as they relate largely to income realized in 2025. I'll now turn the call over to Claude to discuss our operations.
Claude J. Schimper: Thank you, Andrea. This quarter, we continue to expand our Safeground brand by completing additional critical risk management training, and we have had an enthusiastic response from our workforce on this initiative, and we will continue to innovate in how we approach safety at each of our operations. Our focus remains on reinforcing a collective effort to manage costs and capture margin in this strong gold price environment. Going beyond our focus on operational performance, we have put emphasis on getting the best value available out of our contracts, increasing labor efficiencies, improving maintenance and rightsizing consumables as part of our broader cost management strategy. Moving to the summary of our operations. Starting with Paracatu, production of 150,000 ounces was in line with the prior quarter, while cost of sales of $933 per ounce decreased quarter-over-quarter. Paracatu saw strong mining rates, mill recoveries and higher grades in the third quarter. And Paracatu remains firmly on track to meet its guidance range. At Tasiast, we delivered budgeted production of 121,000 ounces at a cost of sales of $889 per ounce, with production in line over the prior quarter. Production was supported by strong mill performance, including high recoveries following the recent mill optimization initiatives. Capital development of the Fennec satellite pit also ramped up in the third quarter and remains on plan. Tasiast remains on track to meet its production guidance of 500,000 ounces at a target cost of sales of $860 per ounce for the year. At La Coipa, we produced 58,000 ounces at a cost of sales of $1,199 per ounce, which improved over the prior quarter as planned. Production and costs improved as mining transitioned into the higher-grade ore from Phase 7. Production is expected to be stronger in the final quarter as mining continues through this higher-grade ore. La Coipa remains on track to meet its full year guidance of 230,000 ounces. Collectively, the U.S. sites delivered production of 175,000 ounces at a cost of sales of $1,469 per ounce in the third quarter. Production in the U.S. operations was as planned and collectively remain on track to meet full year guidance of 685,000 ounces at a cost of sales of $1,420 per ounce. In Alaska, third quarter production from Fort Knox of 96,000 ounces was in line with the prior quarter. Cost of sales of $1,372 per ounce was higher over the prior quarter due to more operating waste tonnes. At Bald Mountain, we produced 42,000 ounces at a cost of sales of $1,148 per ounce. Production decreased over the prior quarter due to the lower grades as planned, resulting in a higher cost of sales. At Round Mountain, production of 37,000 ounces was in line with the prior quarter. Cost of sales of $2,095 per ounce were increased compared to the prior quarter, primarily due to more operating waste tonnes as Phase S transitions from capital waste into operating waste. With that, I will now pass the call over to William to discuss our projects.
William Dunford: Thanks, Claude. As Paul noted, our project pipeline is backed by a significant resource base of 26 million ounces of M&I and an additional 13 million ounces of inferred, calculated at $2,000 per ounce. Our in-house technical team continues to focus on advancing these opportunities into our near- and longer-term production profile, while also leveraging ongoing exploration to augment our broader resource base and support future production. With the significant and current resource base, the strong exploration results and the long-term optionality enhanced by current gold prices, we see a number of value-creating investment opportunities emerging across the portfolio to leverage the strong gold price and enhance our production profile in the 2030s and beyond. We continue to focus on extensive technical study, disciplined investment and competition for capital to ensure the projects we approve have significant margin, return and resilience. We will provide further information on these investment opportunities and decisions in Q1 2026. Regarding the near-term project pipeline, you can see we are already well advanced and making significant progress with our projects in the U.S. and Canada. At Bald Mountain, recent exploration and technical work has been progressing well to support an investment decision for Redbird 2 and has also confirmed opportunity to augment the production profile through concurrent satellite pit mining, leveraging economies of scale and shared infrastructure at the site. At Round Mountain, Phase X underground project is well advanced with underground development, engineering, technical study work and permitting progressing to support a project decision in 2026. It's a similar story at Curlew, where engineering and technical studies on the high-grade resource that has been developed over the last few years are on track to support a project decision in 2026. We will provide a separate update for Great Bear, where AEX and main project engineering are progressing rapidly. These are the projects alongside continuation of our existing operations that support our potential to remain at 2 million ounces through the end of the decade. Turning to our longer-term project pipeline for the 30s. Our resource base has significant optionality both for new projects with large resources such as Lobo-Marte and Maricunga come online and for further extensions of mine life at our existing operating assets. We will be progressing a number of technical studies and permitting efforts across the high-quality portfolio over the next couple of years to advance the significant production potential for the 2030s we see at these assets. To provide some more detail on exploration at Curlew in Washington. This year, we have been focused on infill drilling to support the early years of the mine plan. The results of that work have been positive, confirming the strong widths and grades that we expected to see, which are supportive of high-margin underground mining potential. A few notable intersections from this last quarter included 2 meters true width at 22 grams per tonne at the EVP zone and multiple intercepts of approximately 6 meters width and 8 grams per tonne in the K5 zone. We also completed the initial development of the Roadrunner decline and further extensions of the North Stealth development this quarter. This will provide drill positions to explore for extensions of the high-grade resource at North Stealth and to follow up on high-grade intercepts at Roadrunner, which is not currently in the resource or mine plan. We will be focused on this resource extension drilling in Q4 2025 and 2026. Turning to Round Mountain Phase X exploration. You can see in Q3, we focused on further infill of the Lower Zone with results continuing to intersect strong grades and widths, proving out our exploration thesis of a bulk tonnage underground mining opportunity. The extensive infill drilling is now sufficient to support an initial underground resource estimate. Overall, our infill drilling results have been positive at Phase X, supporting potential for a larger initial resource than we anticipated when we made the decision in 2023 to advance this target. We expect to release the initial resource estimate alongside the projects and economics update in Q1 2026. At Great Bear, both the AEX program and the main project are progressing well, and the main project remains on schedule for first production in 2029, subject to permitting. Starting with updates on the AEX, earthworks activities are well advanced as can be seen on this slide. The natural gas pipeline is now complete and commissioned and the AEX camp is now operational. The water treatment plant building is enclosed with equipment installation currently ongoing. The initial development of the portal box cut is progressing well with the initiation of the exploration decline now forecast to commence in the summer of 2026, pending receipt of provincial permits. Geoff will comment further on permitting shortly. As a reminder, AEX is not on the critical path for first production in 2029, but rather is focused on providing underground drill access for infill drilling of the underground resource and exploration drilling to further delineate extensions of the mineralization at depth. With respect to the main project, which remains on track, detailed engineering for key items such as the mill, tailings management facility and other site infrastructure continues to progress well with a 30% design review for the mill completed in Q3. Initial procurement activities for major process and water treatment equipment have commenced with contract awards planned to start prior to year-end. Manufacturing of selected long lead items is expected to begin next year. I will now hand it over to Geoff to provide a brief update on the Great Bear permitting and time lines.
Geoffrey P. Gold: Thanks, Will. Permitting of the AEX program and the main project continue to advance as we work with the provincial and federal authorities. For AEX, we have 3 of the 5 permits required, including our closure forestry and wildlife permits, which has enabled us to carry on significant AEX activity. We continue to work with the Ontario Ministry of Environment, Conservation and Parks, MECP, to finalize the 2 remaining AEX water permits that are required to manage contact water for exploration purposes. And in the interim, permitted activities continue as planned. For those who are not familiar, contact water is primarily rainwater that comes into contact with their site and naturally occurring underground water. Our First Nation partners, Lac Seul and Wabauskang, on whose traditional lands the project resides continue to support the project and permitting. These 2 outstanding permits are taking more time than anticipated as MECP consults with other First Nations. As Will noted, AEX is not on the critical path for the main project time line. Construction activities at the AEX site will continue uninterrupted throughout the winter months as current activities and conditions do not require the use of water-related permits. In terms of the main project, which remains on schedule, we continue to work with the Impact Assessment Agency of Canada to advance the project impact statement. The first of 3 phase submissions for the project's impact statement was filed in September with the second submission on track for filing in December. The final phase is targeted to be submitted at the end of Q1 of next year. We also continue to advance our IVA negotiations with Lac Seul and Wabauskang Nations of the Northwest Metis community. I will now turn it back to Paul for closing remarks.
J. Rollinson: Thanks, Geoff. After another strong quarter, we are well positioned to meet our market commitments again this year. Looking forward, we're excited about our future. We have a strong production profile. We are generating significant free cash flow. We have an excellent balance sheet. We have an attractive return of capital through both the dividend and share buybacks. We have an exciting organic pipeline, and we are very proud of our commitment to responsible mining that continues to make us a leader in sustainability. With that, operator, I'd like to open up the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of Fahad Tariq with Jefferies.
Fahad Tariq: On the cost side, some of your peers, Agnico Eagle and Newmont, in particular, are focusing a lot on cost reduction efforts. Is that something you're working on? And if so, can you provide some examples of maybe productivity improvements across the portfolio?
Claude J. Schimper: Yes. Thanks for the question, Tariq. It's Claude here. No, as I said in my remarks, we have a number of different initiatives globally, different projects to focus on, different cost elements, significant focus on working with our contractors and turning them into true business partners where the relationship works for both of us. At the same time, labor improvements and productivity improvements around that. We're doing a significant amount of training across all sites to sort of standardize some of our performance and then also a big focus on maintenance spares and parts and things that have been traditionally pressed by inflation.
Fahad Tariq: Okay. And then maybe just switching gears to Bald Mountain. Can you just remind us, does the Redbird pit displace [ feed ] from other pits? Or is it incremental tonnes and ounces?
Unknown Executive: No, it's incremental tonnes and ounces. It's a heap leach facility there. So we stack on top, and we're expanding our heap leaches as we speak to suit Redbird.
Fahad Tariq: Okay. And then just lastly, just on the expansion of the heap leach, I know Redbird 2 is still -- we're waiting for the study update. But would it make sense to do the heap leach expansion even if there aren't new satellite pits identified? In other words, is the Redbird pit sufficient to justify the larger heap leach operation.
Unknown Executive: Yes, absolutely. Like we do heap leach expansions at Bald fairly frequently. So it's -- we'll continue to do so for Redbird. Some of the satellites are in different areas of the operation. We have a variety of heap leach pads throughout the operation, and we expand those as needed to suit the satellites or the anchor pits such as Redbird.
Operator: And your next question comes from the line of Daniel Major with UBS.
Daniel Major: A few questions. So the first one, just on the capital returns and the balance sheet. I think it's very encouraging. You pushed up the dividend and committing to an accelerating buyback in the fourth quarter. If we look at the current gold price, consensus or estimates have you generated maybe $2 billion of free cash flow at spot commodity prices and you've got a run rate of about $750 million of capital returns. But when we think about what you'd be committing to next year, can you give us any indication on a balance sheet position that you'd want to get to before you would kind of commit to returning all of your excess cash to shareholders?
J. Rollinson: Yes, sure. I'll maybe take a lead on that one, Daniel. It's a good question. Look, I think, number one, we've done what we said we would. We guided last year that it would be our intention to return back on our share buyback. We actually did that ahead of schedule. I would like to say in the same theme, as the year has progressed, we've had more cash than we were budgeting. And so as a result, as we've -- as we're coming into the fourth quarter, we've done more. So from my perspective, I think we've demonstrated that we want to do the right thing as it relates to return on capital as well as paying down debt and improving our balance sheet. So I think that the track record speaks for itself. As we look into next year, frankly speaking, we're right in the middle of our budget cycle. We do give our guidance, as you know, with the year-end in mid-February. That's typically when we give an update. Last year, when we gave our guidance, we were in a sort of a $2,500 gold price environment. To your point, we're in a different gold price environment today. But with that comes higher taxes, higher royalties. We do see opportunities to invest in our portfolio. So look, I think directionally, we want to keep going. But let us just get through year-end budget cycle, and we'll come out with an update in the new year.
Daniel Major: Okay. Yes, I look forward to that. The second question is sort of a specific one on the tax payable accrual. If we look at current prices persisting through to the end of the year, for example, what would the working capital reversal be for the tax catch-up in Q1 of next year?
Andrea Freeborough: So I mentioned in my opening remarks that we have significant tax payments in 2026 related to 2025. The first one that we typically talk about is Brazil. So we're expecting more than $300 million in January related to Brazil. And then for Q1 in total, it's close to $400 million. And that's just the tax payments that we're accruing throughout this year. And there will be installments on top of that for the 2026 year.
Daniel Major: Great. It's clear it's about $400 million in Q1. Okay. That's good. And then a last question just on the permitting time line at Great Bear. You mentioned there's no impact on the project, the fact that the final 2 permits at AEX taking a bit longer. At what stage would those 2 specific permits start to impact the time line of the overall project.
William Dunford: Yes. Look, the main project itself is building a mill and open pit mines and an underground, which is what AEX is focused on is the early drilling for that underground. So the whole purpose of AEX is to get ahead and do the definition drilling and do the expansion drilling for the underground. The main project itself and first production is really all about getting the mills built. And if you look at our PEA, we've got significant ore coming out of the open pit at the beginning of the mine to support that mill. So that's why it's not really a critical path right now in terms of those permits.
Geoffrey P. Gold: I would also just add to Will's comments that there's really no direct link between the AEX permits and the main project permits. And at this time, we don't really believe we will experience a similar delay for the main project.
Operator: And your next question comes from the line of Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: Three questions. Maybe over to Paul. I'm just thinking about you're in your budgeting phase and you're thinking about your life of mine plans and your reserve and your resource base. We've had some companies put out some initial targets for what they're running their pits at gold prices on reserves and resources. I'm just wondering how you're approaching that. I know you have your reserve pricing. I think it was $1,600 in resources at $2,000. How are you balancing that with your life of mine plans and your cutoff grades and inflation?
J. Rollinson: Sure. Well, I think I would expect -- I mean, everyone is kind of thinking about what the new reserve resource price will be going forward. I think we're all in a good way, lagging where we are in spot. So I do think -- I expect there'll be generally an increase in the industry in our peer group in both reserve and resource pricing. But I think we'll all probably still be well below spot, which is the right side of the line to be on, of course. As it relates to our planning, as we've said, our mills are full. We're not planning to do anything with our cutoff grades. We're really goal seeking margin and cash flow. To the extent we're thinking about cutoff grades, it's low-grade stockpiles, end of mine life, where we might put different material for end of mine life. But as it relates to the near-term production, we're holding the line and still seeking margin and cash flow.
Tanya Jakusconek: Should I be then, Paul, thinking that as I look at 2026, should I be thinking that if inflation is running and some companies will go anywhere between 5%, 10%, should I be thinking that if I kind of think about your reserve pricing and think about inflation and cost in that sort of level, that would be something that would be reasonable to adjust our gold price to for reserve calculations?
J. Rollinson: Yes. I think to be frank, Tanya, I mean, it's a bit of art versus science. But I think we generally -- we look at it like we do with many things from a different -- from a number of different perspectives. But I think it's not a rule of thumb, and I wouldn't say we do this exactly, but we also take into account sort of a 3-year rolling average as well. And that would be a safe place to be if you were thinking about what we were going to do.
Tanya Jakusconek: Okay. All right. I look forward to your approach in the new year. Maybe just on the some of the optionality that you have and you talked about the...
J. Rollinson: I'm not sure what that noise is.
Tanya Jakusconek: Yes, I don't know either. I don't have anything happening on my end either. So hopefully, we can get through just the last 2 I have. Maybe just on the optionality in the short term on the projects that come in, in that '27 to 2030 time frame, just specifically Curlew and some of the satellites at Bald. Would it be fair to say that they could add incrementally 100,000 to 200,000 ounces in that time frame?
William Dunford: You mean between the 3 of them. I think between the 3 of them, there's potential that if they can add more than that. I think it depends on what year you look at.
Tanya Jakusconek: Yes, I'm just kind of between '28 onwards, right? I was just thinking the Bald and also just Curlew, would that be like fair in the 100,000 to 200,000 and then if we Round Mountain, that's a bit different.
William Dunford: Yes. I mean, Curlew itself, ultimately, we'll provide more guidance early next year, but it might get up to the 100,000 ounce per year as we ramp it up or close to that number. Redbird itself, Redbird 2 and the satellites, depending on the year, will be in that range of 100,000, maybe a little bit higher in some years as you mine through different zones. And then Phase X, we're also targeting to try and get over the 100,000 ounce per annum target, and we'll still be processing remaining stockpiles from Phase S, particularly with these gold prices in combination with the underground at Phase X. So I think our disclosure in Q1 will help you build the profile better, but certainly between the 3 of them, they can add more than 200,000 ounces once they're all up and running. That's coming on -- as other things move in the portfolio, all of that is to try and maintain that 2 million ounces, which we believe we can with those projects.
Tanya Jakusconek: Okay. So that could be supplemental to the 2.
William Dunford: Sorry, it's not supplemental to the 2 million ounce base. These are the projects that keep us at 2.
Tanya Jakusconek: And then my final question for Andrea. Can you -- you're looking at buying back the $500 million in Q4 of the notes and you've got the 2033s and the 2041 notes. Should I be thinking that on the $500 million that for 2026, either one of those would be something you'd be targeting as well?
Andrea Freeborough: Look, I mean, we're happy to continue to grow our net cash, and that's sort of how we're looking at it. Those longer-dated notes, they're just not economic to take out ahead of time, but we'll continue to watch that. And if it did become accretive, then we would think about that.
Tanya Jakusconek: Okay. And so I should be thinking that maybe the pause on the debt reduction after the Q4 and then maybe the cash flow, as Paul mentioned, would be looking on a positive bias for capital returns. Maybe just to ask, what's the minimum cash that you would need to run your business, I should think about keeping on the balance sheet.
Andrea Freeborough: Sure. We typically say the minimum is about $500 million, and then it fluctuates a little bit above that. We just got to net cash as we reported this quarter. So we're certainly happy with that, and we're happy to continue to grow that net cash. So I think it will be a balance between CapEx, continuing to grow cash on the balance sheet and returning capital to shareholders.
Tanya Jakusconek: Yes, bearing any changes in those 2033 and 2041 notes.
Andrea Freeborough: Right.
Operator: [Operator Instructions] And your next question comes from the line of Anita Soni with CIBC World Markets.
Anita Soni: Tanya asked a few of them. I just wanted to circle back on, I guess, capital allocation just in broad strokes as you think about it going into next year. Is there kind of a formula that you're using in terms of how you're going to allocate the free cash flow, like obviously, the debt repayment is kind of on pause, but capital return to shareholders as a certain percentage, reinvestment in the business as a certain percentage and anything else as a certain percentage. Could you give me an idea of that? And really, what I'm trying to figure out is, obviously, there's inflation, but that you were talking about in the order of, I think it was 5% to 10%. But what should we be thinking about in terms of capital for next year?
J. Rollinson: Yes. A couple of questions in there, Anita. I'll start and Andrea chime in, if you like. Again, number one, we're right in the budget cycle. So again, I'll say what I said a little bit earlier. Directionally, all things being equal, we want to continue with a healthy return of capital. We don't typically think about it on a formula basis. We do believe the majority of our shareholders prefer buybacks. That's where we're really focused. And on our internal metrics, when we look at our valuation, we still believe that, that's the right thing to do with our free cash flow. I would say, though, as I go back to the budget, there's moving parts. We do expect, as Andrea said, higher taxes, higher royalties, inflation is always there. And as we've alluded to, we do see a lot of optionality to reinvest in our business for the future. Things are getting better. Phase X is looking better. Curlew was looking better. That might drive decisions to increase capital spending for longer-term mine lives. So I think I don't really want to get pinned down on a specific. I think as we go into the new year, it's -- we're in a good place where, as you say, we've paid down the debt. We've got lots of free cash flow, lots of organic opportunities. And I think we can do all of the above.
Anita Soni: Okay. And then where would inorganic opportunities fit in all that -- the M&A pipeline?
J. Rollinson: Look, again, we -- as I've said many times, we're in a fortunate position that given the strength of the organic portfolio, we don't feel under any pressure. We've got a great team here technically. We do look at external opportunities. But as I know you're aware, we've probably only done 3 deals externally in the last 10 years. So we're very careful. We do look at opportunities. If we saw another Great Bear, we do it again in the heartbeat. But we're very careful, and we are not under pressure, and we'll continue to look.
Anita Soni: Okay. And congratulations on very solid quarter.
Operator: There are no further questions at this time. I will now turn the call back over to Paul for closing remarks. Paul?
J. Rollinson: Thank you, operator, and thanks, everyone, for dialing in today. We look forward to catching up with you in person in the coming weeks. Thanks for joining.
Operator: This concludes today's call. You may now disconnect. RECONNECT